Operator: Good morning, and welcome to Beasley Broadcast Group Fourth Quarter and Full Year 2024 Earnings Call. Before proceeding, I would like to emphasize that today's conference call and webcast will contain forward-looking statements about our future performance and results of operations that involve risks and uncertainties described in the Risk Factors section of our most recent annual report on Form 10-K. Today's webcast will also contain a discussion of certain non-GAAP financial measures within the meaning of Item 10 of Regulation S-K. A reconciliation of these non-GAAP measures with their most directly comparable financial measures calculated and presented in accordance with GAAP can be found in this morning's news announcement and on the company's website. I would like to remind listeners that following its completion, a replay of today's call can be accessed for five days on the company's website, www.bbgi.com. You can also find a copy of today's press release on the investors or press room sections of the site. At this time, I would like to turn the conference over to your host, Beasley Broadcast Group's CEO, Caroline Beasley. Please go ahead.
Caroline Beasley: Thank you, Calvin, and good morning, everyone. We appreciate you joining us to review our fourth quarter and full year results. 2024 was a pivotal year for Beasley. Through a combination of workforce realignment and technology-driven efficiencies, we delivered over $20 million in annualized savings. Additionally, our successful execution of strategic capital structure initiatives, including our exchange and new notes issuance has significantly improved our leverage profile, extended maturities and reduced financial risk, positioning Beasley to generate stronger free cash flow going forward. For the fourth quarter, total net revenue was $67.3 million, a 2.3% increase compared with Q4 of 2023. $8.3 Million in political helped to offset weakness in national and local ad spend. We exceeded our full year expectations for political, delivering $12.1 million for the year, driven primarily by strong federal election spending in key battleground states. Same-station revenue for the quarter grew 4.4%. Digital remains a critical growth engine, accounting for 17.1% of total revenue in Q4. While this represents a slight decline from 19.4% in Q3, it's important to note that total digital revenue increased sequentially from Q3 to Q4. The percentage decline is primarily due to the surge in political during the quarter, which impacted overall revenue mix. For the full year, digital revenue as a percentage of total revenue reached 19.4%, up from 18.4% in the prior year, reinforcing our continued momentum in scaling our digital offerings. On the national side, ex political, revenue declined 4.9% in Q4, a meaningful improvement from the 16% decline in Q3. National represented 12.4% of total revenue for the quarter, down slightly from 12.7% in Q3. Looking ahead, we expect national to face additional pressure, particularly in sectors like auto and consumer goods, where proposed tariffs could lead to constrained consumer demand and more cautious advertising budgets. We are maintaining a disciplined approach to execution, ensuring we maximize opportunities as market conditions evolve. Local over-the-air revenue declined 5.7% in Q4, reflecting broader market trends, while local direct revenue contracted by 5%. This was partially due to the strength of our political advertising performance, which led to inventory constraints across several of our key markets, limiting availability for local advertisers. As a result, local direct represented 54% of our total local business in Q4. That's down from 57% in Q3. We're actively pursuing strategies to strengthen direct relationships and deliver more customized, high-impact solutions. New business development was a headwind in Q4 with revenue from this category declining 12.8% year-over-year, reflecting cyclical shifts in ad spend. However, we see opportunities ahead by leveraging data-driven audience insights, expanding our sales outreach and enhancing our audience engagement, we are confident in our ability to rebuild momentum in this area. As advertisers seek greater precision in their marketing spend, we remain well positioned to offer solutions that drive measurable ROI even in a more cost-conscious environment. In summary, while the advertising landscape remains highly fluid, we are executing with discipline and focus. While we anticipate continued near-term pressure, we remain committed to navigating these changes proactively and ensuring we are well positioned for long-term growth. With that, I'll turn it over to Lauren for a deeper dive into our financial performance.
Lauren Burrows Coleman: Thanks, Caroline, and good morning, everyone. As Caroline mentioned, fourth quarter total net revenue was $67.3 million. While the divestiture of the Wilmington station, the elimination of the Outlaws and Guarantee Digital and a decline in national and local spot revenue created headwinds, these were more than offset by strong political revenue. For the full year 2024, total net revenue was $240 million, a 2.8% decline compared to full year 2023. On a same-station basis, revenue for the full year was up 0.2%. As we break down revenue by category, consumer services remained our largest segment, accounting for 24.5% of total revenue. Despite broader category softness, Tampa and Detroit stood out as bright spots, generating a combined $0.8 million in incremental revenue. Retail accounted for 13.8% of total revenue, while entertainment represented 15.3%. Sports betting revenue for Q4 came in at $4.1 million, representing a $1.1 million decrease year-over-year. This decline reflects an industry-wide shift away from aggressive customer acquisition strategies towards a more sustainable focus on customer retention and profitability. Operators are increasingly leveraging algorithms to identify and retain high-value players while minimizing exposure to high-frequency winners. While this shift has resulted in short-term softness in sports betting-related ad spend, we anticipate this trend to normalize over the coming year as the industry recalibrates its marketing strategies. Meanwhile, the auto sector remained relatively flat, but continued to take more share, rising to 9% of total revenue in Q4. A bright spot for the quarter in the auto category was our import segment, which grew an impressive 115% year-over-year. However, the automotive industry is facing increasing uncertainty as manufacturers and dealers prepare for the financial impact of proposed tariffs. These anticipated tariffs could drive up consumer vehicle prices anywhere from $2,000 to $12,000 per unit with vehicles under $30,000 expected to be the most impacted. As pricing pressure intensifies, automakers and dealers are reevaluating their marketing strategies. We are already seeing signs of advertiser pullback in the auto sector as industry players proactively adjust their budgets in response to these anticipated changes. While the long-term effects remain to be seen, we are closely monitoring the situation and working alongside our automotive partners to provide strategic advertising solutions that align with their evolving needs. Throughout 2024, we made significant progress in streamlining operations and optimizing our cost structure, setting the stage for improved profitability. These efforts have enhanced our operating leverage, allowing us to navigate a dynamic economic environment while maintaining our commitment to high-quality service and content. Building on this momentum, we drove additional efficiencies in Q4. Station operating income, or SOI, came in at $14.1 million, up $4.5 million year-over-year, a 46% increase. Excluding non-recurring severance costs of $816,000, SOI would have been $14.9 million for the quarter. For the full year 2024, SOI totaled $38.5 million, roughly in line with fiscal year 2023 despite the impact of significant severance expenses incurred in 2024 as part of our broader cost realignment efforts. Adjusting for severance expenses in both years, SOI performance in fiscal year 2024 would have been $40.8 million compared with $39.5 million in fiscal year 2023. These results underscore our focus on long-term profit expansion, ensuring we remain well positioned for sustainable growth in 2025 and beyond. Turning to corporate expenses. These expenses for the fourth quarter totaled $4.7 million. This includes $0.7 million in non-recurring severance, join bonus and systems implementation costs as we continue to realign our workforce and invest in technology to drive productivity. Excluding these nonrecurring costs, corporate G&A was $4 million, reflecting a reduction in corporate expenses year-over-year. These reductions are part of our broader effort to streamline overhead while optimizing operations across the business. Operating income for the quarter came in at $7.6 million, holding steady year-over-year despite the absence of a one-time $6 million gain in Q4 of 2023 from the extinguishment of franchise fees related to the sale of the Outlaws. This underscores the strength of our core operations and disciplined financial execution. For the full year, operating income totaled $13.1 million versus a loss of $82 million in 2023. Interest expense for the quarter was $3.5 million or a reduction of $3.4 million year-over-year as we continue to benefit from lower outstanding debt following the proactive deleveraging actions we took in 2023 and 2024. We ended the fourth quarter with total principal outstanding on our notes of $220 million, down significantly from the $267 million at the end of 2023. This ongoing debt reduction underscores our commitment to strengthening the balance sheet and enhancing long-term financial flexibility. EBITDA, as defined by our indentures for the fourth quarter, including adjustments for severance, non-cash stock-based compensation, property and franchise taxes and other add-backs as detailed in our indenture, totaled $12.5 million, with full year lender EBITDA at $32.2 million. This represents a doubling of our Q4 lender EBITDA and a 35% improvement versus prior year for full year 2024, driven by the successful execution of our comprehensive cost reduction initiatives, which helped to mitigate revenue pressures. Capital expenditures for the quarter totaled $387,000, bringing year-to-date CapEx to $3 million, which is consistent with our efforts to prioritize essential investments while maintaining disciplined capital allocation. Cash on hand at the end of Q4 was $13.8 million, a decline compared to $27.8 million at the end of Q3, largely due to debt repayments and fees associated with our debt restructuring. Together, these actions position us with a leaner cost base, ensuring our ability to invest in areas that drive long-term revenue growth while also enhancing our ability to generate free cash flow and reduce leverage over time. As we move into 2025, we remain laser-focused on strengthening our financial position. Despite the evolving macroeconomic landscape, we are executing with discipline, and our strategic initiatives continue to position us for long-term success. With that, I'll turn it back over to Caroline.
Caroline Beasley: Thank you, Lauren. Digital remains a key pillar of our growth strategy, and we've taken decisive steps to adapt to the evolving economic landscape while optimizing this part of our business. Last August, we welcomed Dave Snyder as our Head of Digital Content Marketing. And since then, we've made targeted structural changes to enhance agility and profitability in our digital operations. These include realigning our digital team, refining bonus structures for talent and programming teams and reorienting our sales team to focus on both total and O&O digital revenue goals. These shifts position us to drive a more aggressive revenue mix in favor of higher-margin digital offerings, ensuring we are better insulated from near-term macroeconomic pressures and prime for long-term sustainable growth. While Q4 digital revenue was slightly down year-over-year, this was primarily due to the wind down of Guarantee Digital as we continue to refine our portfolio and focus on higher-margin opportunities. We're actively mitigating economic headwinds through strategic realignment efforts that prioritize efficiency, customer acquisition and the monetization of high-margin digital products. Digital remains at the core of our long-term growth strategy, and we continue to see strong momentum in this space. In 2025, we expect digital to drive roughly half of all new business, fueled by the continued expansion of our offerings, including streaming audio, newsletters and the rollout of new premium products. As advertisers continue to navigate an economic detox period and take a more measured approach to spending, our focus on deepening direct-to-consumer engagement, leveraging data-driven marketing solutions and enhancing inbound lead generation ensures we remain a strategic partner, delivering measurable value for our clients. As part of this strategy, we anticipate new revenue streams from our redesigned station and Beasley digital websites, which will play a crucial role in our broader digital expansion. We expect our redesign to be completed in Q2. These platforms are being optimized to enhance user experience, increase engagement and provide more premium inventory for advertisers. We're positioning Beasley to capture a greater share of digital ad dollars while providing advertisers with more innovative data-driven solutions. Beasley stations continue to deliver strong ratings performance with our stations ranking #1 and #2 in half of our markets, a testament to the strength of our local brands and the work our programming teams are doing to consistently engage and grow our audiences. Additionally, Nielsen has recently announced a significant change to its PPM methodology. Early results show Beasley stations benefiting from the change, and we expect to continue to benefit from this throughout the year. We remain hyper-focused on driving operational excellence, ensuring every part of our business is positioned for agility and growth. In 2024, we took bold action to streamline our organization and modernize our processes, creating a leaner, faster and more collaborative structure that positions us to move with speed in a rapidly evolving media landscape. Looking ahead to Q1 of 2025, same-station revenue is pacing down roughly 10% with a significant step down starting with February performance, driving negative overall pacing for the quarter. Advertisers remain cautious amid ongoing economic uncertainty, leading to more measured spending patterns. While near-term headwinds persist, we are focused on driving digital growth, strengthening advertiser relationships and executing our revenue diversification strategy to position us for long-term success despite short-term volatility. We're confident that the strategic foundation we've built rooted in technology and operational rigor will allow us to outperform in the marketplace, capture greater value for our advertisers and deliver long-term growth for our shareholders. We look forward to sharing our progress with you as we execute against our vision in 2025. So, with that, Lauren, let's move on to the questions that were submitted.
A - Lauren Burrows Coleman: Great. So, the first question that was submitted, is political seemed particularly strong for Q4? Were there certain markets that led?
Caroline Beasley: Yes, there were. We saw significant political dollars in Charlotte, Philadelphia and Detroit. We also saw meaningful dollars from Las Vegas.
Lauren Burrows Coleman: Okay. Next question. Are you seeing any resumption in national advertising in Philadelphia and Boston?
Caroline Beasley: So, national in Boston is pacing down, but national in Philadelphia is pacing up. So, these two markets combined, we are seeing pacing up. However, overall national pacing is down roughly about 10%, and this is primarily driven by sports betting pullback in Charlotte.
Lauren Burrows Coleman: Great. How much of the $20 million of cost savings hit the 2024 numbers? I'll jump in on that one. As you can see from the fourth quarter, improvements in EBITDA per indenture prior to our pro forma cost savings already reflect annualized cost savings in excess of $20 million. So, as you know, we did start making cuts in May of last year or through the end of the year. So, we definitely expect to see the full benefit of these cost savings in 2025. But in addition to that, we made further reductions in Q4 in excess of $3 million, of which only $0.5 million would have hit in Q4. So, you've got an extra, call it, $2.5 million plus in annualized savings that you didn't see in the quarter. All right. Moving on to the next question. Could you comment on the potential for regulatory changes? Would you be open to station swaps or selling stations to reduce debt?
Caroline Beasley: So, the regulatory environment seems ripe for [dereg] (ph) for both radio and TV. And of course, we're very supportive and hopeful that this will occur sooner versus later. As far as being open to swaps or selling stations, we're always open for swaps or sales if the deal is right for the company.
Lauren Burrows Coleman: Great. Well, those were all the questions that we had. Thank you, everyone.
Caroline Beasley: All right. Thank you. This concludes our call. And as always, feel free to reach out to Lauren or myself with any additional questions. Thank you.
Operator: Ladies and gentlemen, that concludes your conference call. We thank you for participating, and ask that you please disconnect your lines.